Operator: Good day, and thank you for standing by. Welcome to the OPAL Fuels First Quarter 2025 Earnings Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during the session, you will need to press star 11 on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star 11 again. Please be advised that today's conference is being recorded. I would now like to turn the conference over to your speaker for today, Todd Firestone. Please go ahead.
Todd Firestone: Thank you, and good morning, everyone. Welcome to the OPAL Fuels first quarter 2025 earnings Conference Call. With me today are Co-CEOs, Adam Comora and Jonathan Maurer, and Kazi Hassan, OPAL's Chief Financial Officer. OPAL Fuels released financial and operating results for the first quarter 2025 yesterday afternoon. Those results are available on the Investor Relations section of our website at opalfuels.com. Presentation and access to the webcast for this call are also available on our website. After completion of today's call, a replay will be available for ninety days. Before we begin, I would like to remind you that our remarks, including answers to your questions, contain forward-looking statements, which involve risks, uncertainties, and assumptions. Forward-looking statements are not a guarantee of performance, and actual results could differ materially from what is contained in such statements. Several factors that could cause or contribute to such differences are described on slides two and three of our presentation. These forward-looking statements reflect our views as of the date of this call. OPAL Fuels does not undertake any obligation to update forward-looking statements to reflect events or circumstances after the date of this call. Additionally, this call will contain discussion of certain non-GAAP measures. A definition of non-GAAP measures used in a reconciliation of these measures to the nearest GAAP measure is included in the appendix of the release and presentation. Adam will begin today's call by providing an overview of the quarter's results and recent highlights and an update on our strategic and operational priorities. Jonathan will then give a commercial and business development update, after which, Kazi will review financial results. We will then open the call for questions. And now I will turn the call over to Adam Comora, Co-CEO of OPAL Fuels.
Adam Comora: Thanks, Todd. Good morning, everyone, and thank you for participating in OPAL Fuels' first quarter 2025 earnings call. First quarter results were in line with expectations. Performance across our business segments was solid, and we continue to focus on our strategic and operational objectives. First quarter adjusted EBITDA was $20.1 million, over 30% higher compared to the same period last year. Our first quarter 2025 fuel station services segment EBITDA was approximately $12.5 million, 80% higher versus the first quarter of 2024. RNG fuel production for the quarter was 1.1 million MMBtus, up nearly 40% versus the same period last year, and in line with our expectations. Our Fuel Station Services segment continues to exhibit strong growth. As we often discuss, the strategic value of our vertical integration maximizes the value of RNG that we produce and makes us an attractive partner for new RNG business development opportunities. This segment also provides steady, predictable, and growing cash flow that improves economic returns to the overall business and dampens commodity price volatility. We are maintaining our full-year guidance set out in March and expect to see sequential quarterly RNG production growth throughout the year as our newer projects continue to ramp. We also anticipate continuing growth at our existing landfill RNG facilities. While we are pleased with our execution, we are also cognizant of the uncertain macro and regulatory environments. Although we do not expect our business to be materially impacted by tariffs, recent trade policy uncertainties are causing delays in investment decisions in our customers and partners, including some of our logistics and trucking fleet customers. These delays are not material enough for us to change our guidance regarding fuel Station Services EBITDA growth for the year, but we are not yet seeing the acceleration of CNG/RNG adoption for heavy-duty trucking. That said, we are very encouraged by numerous factors supporting long-term adoption. Our view is driven by product availability of the Cummins 15-liter engine with Freightliner now moving into production and delivery. In addition, a new regulatory outlook has recognized the challenges of zero-emission vehicles for the heavy-duty market. This significantly expands the potential for adoption of RNG/CNG-powered heavy-duty trucking. While this regulatory shift has positive implications for the continued growth of fuel station services, we are still waiting for regulatory clarity for the RNG fuel segment. We are continuing to monitor 45z implementation, final EPA rulings on the proposed partial waiver introduced in November of last year, and the upcoming set rule two, which will include volumes and other market balancing mechanisms. While we are waiting for the regulatory backdrop to clarify, there is still strong bipartisan support for American biofuels and in RNG. With that, I will turn it over to Jonathan Maurer.
Jonathan Maurer: Thank you, Adam. And good morning, everyone. As Adam mentioned, our first quarter production results were 38% higher compared to the first quarter of 2024, driven primarily by increasing production at the facilities commissioned in the fourth quarter of 2024. As we mentioned in March, on our last earnings call, production from these facilities is growing, and we continue to see positive performance across our other operating facilities. We maintain our 2025 RNG production guidance of 5 million MMBtu to 5.4 million MMBtu, which at the midpoint is a 37% increase versus 2024. In our in-construction portfolio, we have four landfill RNG projects in construction, at Atlantic, Burlington, Cottonwood, and Kirby, which remain on schedule and represent in aggregate 2.1 million MMBtu of annual design capacity. We expect Atlantic to commence commercial operations in the third quarter of this year, and the next three during 2026. Our development pipeline has numerous near-term opportunities with secured gas rights. And we are maintaining our guidance to place 2 million MMBtu into construction in 2025. In fuel station services, we have 45 stations in construction, of which 19 are OPAL owned. We are maintaining our guidance to grow fuel station services 2025 adjusted EBITDA 30% to 50% versus 2024. 2025 is off to a good start, and despite the mentioned near-term uncertainties, longer-term market fundamentals are supportive of our business plan and growth potential. Successful, disciplined execution will result in increasing shareholder value. I will now turn the call over to Kazi Hassan to discuss the quarter's financial performance.
Kazi Hassan: Thank you, Jonathan, and good morning to everyone joining today's call. Last night, we issued our earnings press release outlining our results for the first quarter ended March 31, 2025. We expect to file our form 10-Q on Monday. Revenue and adjusted EBITDA for the quarter were $85 million and $20.1 million, respectively, compared to $64.9 million and $15.2 million in the same period last year. Net income was $1.3 million, up from $700,000 in Q1 2024. This year-over-year quarterly growth reflects the continued ramp-up of RNG production at facilities commissioned in 2024, along with the growth in our fuel station services segment. Included in these results is OPAL's share of adjusted EBITDA from equity method investments, which was $3.4 million for the quarter versus $6.5 million in Q1 2024. The year-over-year decrease is primarily driven by the timing of last year's RIN sales and startup-related expenses at new joint venture projects. Capital expenditures for the quarter totaled $17 million, including $5.4 million related to our equity method investments. As Adam mentioned, we maintain our full-year 2025 guidance provided in March. We continue to expect adjusted EBITDA between $90 million and $110 million, supported by RNG production of 5.0 to 5.4 million MMBtus. Our guidance assumes D3 RIN pricing of $2.60 per gallon for the entire 2025. As of March 31, our total liquidity was $240 million. This includes $40 million plus of cash, cash equivalents, and short-term investments, more than $178 million of undrawn availability under our term credit facility, and a little over $21 million of remaining capacity under our revolver. In March, we also monetized approximately $8 million in investment tax credit net proceeds and expect roughly $50 million in total ITC sales in 2025, which bolsters our operating cash flow. We believe our current liquidity position combined with the operating cash flows will be sufficient to fund our existing capital plan and near-term growth initiatives. With that, I will now turn the call back over to Jonathan Maurer for closing remarks.
Jonathan Maurer: In closing, we are pleased with our first quarter results. We remain well-positioned for continued disciplined execution of our strategic growth objectives and the expansion of OPAL's vertically integrated platform. I will turn the call over now to the operator for Q&A. Thank you all for your interest in OPAL Fuels.
Operator: Thank you. A question, please press 11 on your telephone. You hear the automated message that your hand is raised. Also ask that you please wait for your name and company to be announced before proceeding with your question. As well, one question and one follow-up. One moment for the first question. And the first question was coming from the line of Derrick Whitfield of Texas Capital. Your line is open.
Derrick Whitfield: Good morning, all, and great update. Thanks, Derrick. Good morning. Well, my first question, I wanted to lean in on your production trajectory for the year. While flattish, so Q1 flattish versus Q4, your guidance implies a material increase in production over the course of the year as recent projects ramp and gas collection improves. Could you perhaps speak to the cadence of production expectations for the year and then the improvement you are expecting in inlet design capacity utilization over the course of the year?
Jonathan Maurer: Hi, Derrick. Jonathan Maurer. I will take this one. So production for the quarter was within our band of expectations. And production was somewhat affected by a couple of factors, including an unusually cold winter affecting our landfill gas collection. In addition, we had some availability issues at our virtual pipeline projects, which are not generally as reliable as Direct Connect projects. However, as you mentioned, we are expecting good sequential growth through the next several quarters, consistent with our guidance. And this will come from improvements at existing projects, including landfill gas collection expansions, at our open and growing landfills that are occurring typically this time of year and through the summer. In addition, our Polk project is going to be transitioning to a direct connect interconnection this month, which should serve to increase that reliability. We have also put in place a number of key additions over the last five months or so in the operating team there, which should result in increasing efficiencies and availability across those projects. And as we see the Atlantic project on track for commercial operations in the third quarter, we should expect to see results from that in the fourth quarter. So as said, we remain confident in our output and we will see that sequential ramp over the course of the year.
Derrick Whitfield: Terrific. And maybe leaning in further just on your in-construction RNG projects. It appears as you noted that these are generally progressing in line with your expectations. Are you guys experiencing any leading-edge inflation associated with tariffs?
Kazi Hassan: Sure. Let me take that. Hi, Derrick. So on the tariff-related, because we are not seeing any cost increase in our construction projects or even in our operating areas yet. I do not expect there is going to be a lot because all the in-construction projects have already had all the equipment ordered. Like a fixed price contracts have been executed. So do not expect a lot of implications on our current operations as well as the capital. It could be in future projects, and we will make those judgments as part of the FID when we make the final decision on the investments.
Derrick Whitfield: And maybe just any color around how material that could be on future projects? Just from what you guys have been able to size up to date?
Kazi Hassan: So just as a guide, some of the future projects you already made qualifying investments for the ITC purposes. And so part of those costs has already been secured. See a whole lot improvement. You know, you have to remember all of our contents, we try to make it domestic qualified. So there could be implications on steel or aluminum, or all those areas. But we do not see a major implication. Remains to be seen. We do not know how this whole overall macro situation is going to clarify itself over the next two to six months. But to date, we do not see a major implication.
Derrick Whitfield: That's great. I will turn it back to the operator.
Operator: Thank you. And the next question will be coming from the line of Matthew Blair of TPH. Your line is open.
Matthew Blair: Great. Thank you, and good morning. Want to talk about the RIN pricing you achieved in the first quarter. You know, it was down quarter over quarter, but still extremely strong relative to the benchmark index. I think we show you capturing about 12% of the benchmark index. Could you talk about the drivers here and is this something that you might be able to replicate in Q2 and going forward?
Adam Comora: Yes. Thanks, Matt. Adam Comora here. We did have an average realized RIN price of about $2.71 in the first quarter. And you know, we typically do not like to speculate on where RIN prices are going or where public policy is going to go. And we typically have a philosophy that we are going to sell as we go and we also do not like to talk too much about our trading philosophy and policy. I would say that our second quarter RIN price will likely be lower than what it was in the first quarter. And our position for the year is basically about 50% that we have sold and sort of supported by our outlook for our guidance.
Matthew Blair: Sounds good. And then the growth that you are expecting this year in FFS 30% to 50% EBITDA growth, coming off a pretty strong number in 2024. Could you talk about and is it possible for you to split how much of that growth is simply coming from higher volumes? You know, it sounds like you are building 19 of your own stations. And then how much of that growth is coming from expectations of stronger margins due to an increasingly tight dispensing market.
Adam Comora: Yes. So this is Adam again. And you know, there are obviously a few sub-segments within fuel station services, and we are seeing good strong performance across all of those. And some of that comes from OPAL fuel stations that we own. And then, charge that tolling or compression fee. We had a number of those facilities come online in '24 and a number, coming online in '25. So you annualize the ones that came on throughout the year last year and the new ones coming on this year. Our construction business continues to perform well in terms of anticipated margins. And our service business there continues to grow as well as we have sort of full-service contracts. And those could be on stations that we build and then service after the fact. And there is a component to higher utilization and throughput of our dispensing network as RNG volume continues to flow through there. So it is really all four of those pieces that continue to drive growth in fuel station service.
Matthew Blair: Great. Thanks for your comments.
Operator: Thank you. One moment for the next question. And the next question will come from the line of Martin Malloy of Johnson Rice and Company. Your line is open.
Martin Malloy: Good morning. Thank you for taking my questions. First question, bigger picture. Could you maybe talk about how you are thinking about returning capital to shareholders, potentially dividend policy as you achieve the growth at which you will start to generate some meaningful discretionary free cash flow.
Adam Comora: Yeah. Matt, this is Adam Comora here, and I appreciate that question because certainly our largest shareholder and all of our shareholders are interested in maximizing shareholder value. And returning value in any number of ways. And this really goes to the flexibility that we have in terms of how we deploy capital, and what do we do with the free cash flow generation that is going to be coming to maximize and enhance shareholder value? And we are sitting in a position where we have a very strong opportunity set of biogas projects that we can either deploy capital and accelerate growth if they still achieve our required unlevered rates of return, that free cash flow generation can also be used in M&A opportunities to enhance the platform and be accretive to shareholder value. Or if those things do not materialize and you are no longer achieving rates of return that you want on new capital projects, you have the flexibility to delever and return cash to shareholders. Through those mechanisms that you were talking about? Or you know, I know we are trying to achieve a better float and liquidity and we have taken some actions to be doing that. With our shareholder base. Share buybacks in the future could always be something that you look at. Right now, we like the opportunity set that we have in front of us to continue to deploy capital and grow our company in these new types of projects. And by the way, it could either come in fuel station services we think there could be a real robust opportunity coming for CNG, RNG in the heavy-duty trucking market. Or, you know, some real, attractive large RNG projects to deploy capital there. And we are also cognizant of other ways to create shareholder value from the free cash flow.
Martin Malloy: Thank you for that. And for my second question, I wanted to ask about potential on the electric power side. With respect to your facilities. Maybe if you could talk about what you are seeing there from customer interest or potential projects.
Adam Comora: Yeah. This is Adam again. Because, you know, the renewable power segment, we do not really talk a lot about. And I think it is a really interesting use for smaller biogas or biogenic methane abatement, quite frankly. And you know, I think people understand the benefits of renewable power from biogas where it is baseload power enhances grid stability. You know, it is typically in rural areas or municipality-owned. And there are a number of different ways to accelerate or incentivize development in that area. And, you know, we think that is going to be coming. Now, you know, we have talked historically about an eRIN policy as being something that could be really effective to drive investment in that space. And create incremental value for OPAL Fuels. And you know, if it is not the eRIN policy, we think that there could be other interesting off-take markets for that. You know, I know a lot of data centers were looking for low carbon intensity baseload renewable electricity. And we will see if those types of off-take markets develop and provide that good economic return and that sort of thing. So do not have anything to report on that front just yet today. You know? And I think also if you look at our financial statements, you will see we are not making a lot of money on renewable electricity today. This is also something we try and educate the folks in DC about is that, you know, not there is not one size fits all. We always think there is this good, better, best policy with what to do with biogenic methane. You know, we think the worst answer is to flare it locally. And, you know, we think a good answer is to turn it into renewable electricity for the reasons that we said. And if you have a high enough, you know, by if you have a large enough, emission source, your best answer is to turn it into RNG where you are capturing the full, know, the full energy there, because those landfill gas electric projects are not the most efficient. They do take higher heat rates to create your electricity. And you know, we think, we think, you know, that resonates with folks. We just have not seen yet, you know, where that shakes out in terms of how to best structure either policy around it or seeing yet, that commercial off-take, but we do think it is going to be coming.
Jonathan Maurer: And I will just add that as always, our electric project portfolio has represented the raw material for converting these long-term gas rights into RNG projects. And we expect to see that continuing over the course of this year and next.
Martin Malloy: Great. Thank you. I will turn it back.
Operator: Thank you. One moment for the next question. And the next question will come in from the line of Adam Bubes of Goldman Sachs. Your line is open.
Adam Bubes: Hi. Good morning. I was wondering if you could just update us on your latest thoughts around potential timelines and outcomes of the next iteration of biogas policy.
Adam Comora: Adam, this is Adam here. And you know, there is a lot going on. So when you talk about biogas policy obviously we have a lot of things happening within the EPA with the renewable fuel standard. And, there is a lot of tax policy coming as well. So, maybe I will start on the tax policy first, and then we can move into the RFS. And on a tax policy, it seems like, you know, from the news that I have been reading, we could be seeing, you know, some new tax bills coming out any day next week. And it sounds like there could be some energy tax policy included in that. And, if you recall, when we gave guidance for the year, we had a minimum to very small amounts of 45z included in our guidance. And you know, it feels like and I want to just talk from a super high level about what it is that we do again and why you know, we think that there is Republican and bipartisan support for the capture of this biogenic methane from organic waste, which, by the way, will continue. We are going to continue to have biogenic methane coming from that organic waste that we create in the animals that we use for our food supply create. And you know, it is broadly supported that we should be doing something about that biogenic methane. And you know, as it pertains to the tax policy, you know, the one that we are waiting for clarity on that 45z, you know, we think we will be seeing that pretty quickly. And it is also pretty interesting too because when we talk about our vertical integration, it also gives us diversity to public policy outcomes as well because not only in the tax policy are people talking about 45z, they are also talking about this RNG incentive act. Which really would accrue to the downstream fuel station services, whether it is an RNG dispensing tax credit or something that comes back on the fuel usage side. And, so we think that we will start to get a little bit of clarity around that probably in the coming weeks. And, you know, we will see where it shakes out on how the greet model is going to work and whether or not it is at the novel tip for dispensing. Or whether it is on the production side for 45Z or maybe some combination of both. But, it does feel like there is broad-based bipartisan support for some of that stuff to be included on the tax policy. And on the RFS, you know, I am seeing reports and I am sure you guys are seeing reports as well that, you know, the EPA is really trying to keep the timelines on when they put out rules and establish their rule-making cadence and timeline. So, you know, we read the same things that everybody else reads, where, you know, we could see that coming in the coming weeks. And, you know, as far as the RFS goes, there has been a considerable amount of focus and attention on liquid biofuels. And I can understand that. Know, there was a lot of investments made in converting refiners to be able to create renewable diesel. And, I think previous set rules you know, were not as supportive for a lot of the investments that were made in that area. And you saw that sort of played through in various RIN pricing for various categories. And, I think there has been a lot of focus on that side of it. And you know, there has not been as much attention paid to the cellular category as much as we would like to see. And the interesting thing there is we actually want the same things as a lot of the liquid advance biofuels in terms of strong volumes across advanced biofuels, you know, if you have a holistic view on how you are managing the RFS, you know, we think the cellulosic waiver credit, know, can make a lot of sense so that the obligated parties can achieve their compliance. And, know, if you have got, you know, sort of, you know, a functioning working RIN market across the spectrum of those advanced biofuels. Then you can have that price cap that can really work and support new RNG investment. And, you know, if you do the math on what it can look like you know, in '26 and '27 or however long they do a set rule for, know, it is really supportive of new investment in RNG and that sort thing. And it is not to say, you know, it is always a straight line, and we do not know exactly how the rules are going to be. But we do feel like what we do you know, does have that broad bipartisan support. And you know, we do not know, you know, where all these things shake out. What I can tell you is that, you know, it does feel like investment in these sort of RNG projects and the productive use of that biogenic methane you know, is broadly supported, whether it be renewable natural gas in heavy industries like heavy-duty trucking or potentially marine fuel. And capturing those smaller emission sources for renewable electricity. And, you know, we will see where, you know, potentially there is positive tax policy or, you know, potential positive outcomes out of the RFS. And, you know, I do believe that we will start getting that clarity you know, over the next, I do not know, month or two. And we will see how long it takes to finalize any of those rules. I would say on the 45z, you know, that starts January 1, 2025. We obviously have not created any of those tax credits or sold any, you know, but that is something that, you know, would be active for the entire year. Long answer because there are many layers to that onion.
Adam Bubes: Absolutely. And I appreciate all the thoughts there. And then my last question, it looks like your RNG EBITDA per annum is around $18 in the quarter. Just wondering if you can help us think about puts and takes around the trajectory of EBITDA per MMBtu from here? On one hand, it sounds like D3 RIN credit prices might step slightly lower sequentially. On the other, you know, I would imagine as you ramp up projects, OpEx per MMBtu maybe to maybe move lower as you spread that OpEx over more production. So just how are you thinking about the trajectory of EBITDA per MMBtu from here?
Kazi Hassan: Let me answer that question. I think it is a bit simpler than what it may sound. If you think about John has mentioned the secular growth in our RNG production throughout the year from the existing facilities plus the ramp-up of projects we put in construction end of last year. So that production would be, you know, what the RIN price is going to look like. We already mentioned that we have done pretty well on the RIN price last quarter. It will be less for the second quarter. And third quarter and fourth quarter depending on where the RIN prices are. We are assuming for the rest of the year it is going to show up at $2.60. So it is simpler sequentially growing and moderated by how the RIN price is shaping up.
Adam Bubes: Great. Thanks so much.
Operator: Thank you. One moment for the next question. Next question will be coming from the line of Betty Jiang of Scotiabank. Your line is open.
Betty Jiang: Great. Thanks. Good morning. For my first question, I was wondering if you could talk about the renewable power segment. In the first quarter, it looked like revenues were down quite a bit. And as a result, results were down quite a bit as well. So just curious what the drivers were there.
Jonathan Maurer: This is Jonathan. In the renewable power segment, you know, last year, we had the ISCC pathway in that segment, and those contracts terminated, so there was a substantial decrease from those contracts being terminated in the fourth quarter. So that is principally where you are seeing the differences there. You know, otherwise, it is a pretty consistent performer. In the future, you might see decreases as projects move from renewable power into construction or operation as RNG projects. But, otherwise, it should be fairly consistent seeing good opportunities for contracting the power output of those projects. As well as RIN prices in certain, I am sorry, REC prices in certain markets as well. So, other than that, Betty, I think that is the principal driver of the change.
Adam Comora: Yeah. This is Adam here. I just want to follow up on that. I think as people might remember, we were enjoying an international export market for renewable power. And that lapsed in November of last year. So there will be a couple more quarters of that, which was already baked into our guidance and factored into our business plan for 2025. But it opened up a broader conversation on tariffs because we did get that first earlier question on tariffs, which do not have a material impact on the projects in construction. And, you know, as Kazi had mentioned, we do not think we will have too material an impact as we are evaluating some of the new project opportunities in front of us. But it made me think again about some of those indirect implications on tariffs. You know, when we talk about RNG, we are talking about US public policy, and how the RFS potentially plays out and what is happening in our domestic tax policy here. An indirect effect of tariffs is we do not have an export market currently for the RNG that we produce. And we think that is going to be a really interesting opportunity once all that stuff shakes out. You know, when those international markets open up again, whether it be for renewable power or other potential markets for RNG. And, you know, once those sorts of things shake out and you get European pathways back, you know, we think that is an interesting opportunity for us.
Betty Jiang: Great. That is helpful. Thanks. In the first quarter, I also wanted to ask about what looks like a pretty substantial income tax benefit. Around $8 million. So just curious if there was anything to point out there.
Adam Comora: Yeah. Those are the sale of our ITC, section 48 tax credits. If folks remember, we do not include the cash proceeds from the sale of the section 48 ITC tax credits. And it is not included in our EBITDA guidance, but it is included in net income and cash flow. So that is what that $8 million was and that was where Kazi was referring earlier. Somewhere anticipated to be about $50 million in 2025.
Betty Jiang: Got it. Thank you.
Operator: Thank you. As a reminder, if you would like to ask a question, please press star one one on your telephone. And our next question will be coming from the line of Craig Shere of Tuohy Brothers. Your line is open.
Craig Shere: Hi. Thanks for taking the questions. You know, even a hazy at the moment RNG margin outlook, you know, pending regulatory certainty certainly looks a hell of a lot better these days than eRIN's prospects. Depending on what we see in coming weeks and months, is there room to accelerate conversion of biofuel power projects to RNG?
Adam Comora: Yeah. I mean, that is what we are excited about. We have a number of projects that we have got secured biogas rights on. And a number of conversion projects. And quite frankly, a number of those are sizable projects. And, you know, wherever that public policy shakes out, it really defines what your opportunity set is. Right? So you know, if there is RIN price volatility, you know, we still have a lot of or a subset of larger projects that we can still underwrite and make a lot of sense. So and at the same time, we are being prudent. You know, the way our business is structured is you know, these projects do require a significant amount of capital. They take ballpark eighteen to twenty-four months to develop and finish out construction on. So you typically spend the money early and upfront. And then you recognize significant free cash flow for a long period of time once the projects are operational. So we also balance how quickly we move on our development based on whatever the externalities are. Be it public policy, capital markets, what have you. So, you know, we have really got the ability to either accelerate development and grow faster. Or be prudent and manage the balance sheet effectively as well to make sure that you do not, as our chairman likes to say, get over your skis. And, so we have got the ability to either lean in accelerate development or stage it out as the projects come online and you deliver the free cash flow.
Craig Shere: Great. And my second kind of big picture question, you know, obviously, we are hearing from multiple parties that downstream continues to look strong. You obviously have a nice construction program going on there. But uptake on the 15-liter CMI engines seems to be slower than anticipated. And kind of thinking into the end of the decade, macro Trump administration policies obviously support accelerated domestic, liquids production and production from our allies, as well as heavily stair-stepping LNG exports. So you know, a really fearful, you know, worst-case scenario, outlook might envision, you know, what are we going to do if there is $50 or lower crude and $4 higher systemically Henry Hub gas. Are you hearing any concerns about that?
Adam Comora: You know, this is Adam again. And, I would say, no. I think natural gas is going to stay cheap to oil for as long as the eye can see. Specifically here in North America. And I want to remind everybody you know, when we got into the fuel station service segment, I do not know, thirteen years ago or so, you know, we always had the eye that ultimately there was going to be strategic value of vertically integrating with all of our biogas assets. And at the same time, we were really excited about the prospect of compressed natural gas as a transportation fuel. We always thought if you could take natural gas and turn it into an oil substitute, it was a good way to take advantage of an energy ARB. Between those two things. And I think that is going to continue for, quite frankly, as long as the eye can see, given what it costs to produce crude versus what it costs to lift that gas here in the US. And you know, as far as the uptake of the 15-liter engine, we are really encouraged by what we are seeing. And people realizing that it is a good answer to even if you are just using CNG, you are going to get 20% emission reductions versus diesel. And, quite frankly, it is disinflationary. You know, when you look at the cost of the fuel. Versus oil. Now when we talk about the quote-unquote slower uptake or why are not we there yet, it has been a confluence of factors of product availability. Where we did not have a Freightliner engine, which is, I do not know, 40% or so of the market. Until really just now at the recent ACT Expo. And, you know, the, and I think and you have also got now this macro environment where, you know, trade looks like it is a little challenged right now. So you know, we have seen really good adoption, and our base business is really around more, you know, recession-resistant kind of businesses. Refuse, moving food and beverages, and that sort of thing. Around the country. So when we talk about the slower uptake, it is really around those logistics and transportation fleet customers that did not have a product until the 15-liter engine showed up. And, you know, I would also say when we were getting into it thirteen or fourteen years ago, everybody was doing it for the economics. Right? People were not really as focused on sustainability or mission profiles back then. And back then, you were talking about a $60,000 premium for the 12-liter tractor versus where it is today. Now I think this period of uncertainty is also sort of healthy. And, you know, we think we are getting to a place where the economics are going to work on CNG versus RNG. And once we do that, we think we are also opening up a whole new area of growth where, you know, RNG today is about, what, 2% of the diesel market. And, you know, even if we do a fantastic job capturing all the biogenic methane, you know, RNG could maybe grow seven, eight, nine, 10 times from where it is today. You know, there is an opportunity for CNG once we get the, you know, maybe the price premium down a little more, which should happen scale. You know, once, you know, a lot of those for and there are some structural things we also need to address there and, you know, make sure there is a residual market for tractors when people want to trade out of them and, you know, a lot of those for hire fleets, you know, typically operate in a one to three-year contract environment, you know, and shippers know, that was the other thing from ACT Expo is we saw a lot of collaboration with the shippers that are hiring these for hire fleets that really want to see them transition into it. And they are starting to realize, hey. Maybe we need to do four or five-year contracts so that a five-year payback for those tractors can really help accelerate adoption. So we see a lot of positives coming, and we see a policy shift away from trying to make that one zero emission work for every industry, shifting and, people are going to lean in on it. So I am not overly concerned about what may be a short-term oil price move that shrinks the economics a little bit. You know, we think long-term, there is going to be a very attractive economic incentive between CNG and diesel.
Craig Shere: Do you really think that customers are willing to look at four to five-year payback versus, say, as low as one to two?
Adam Comora: You know, that is a really interesting question because you know, I think if you talk to most C-suites out there, they would say a four to five-year payback is pretty attractive on capital. I think if they get contracts that support that kind of timeframe and maybe they have better visibility on residual values, I think the answer would be yes. I think a lot of public companies are willing to trade CapEx for OpEx as well. So I think the answer is yes. We would like and by the way, there are some customers obviously, that can see shorter paybacks. And right now, what happens in the industry is the RNG producers are making RNG more attractive and shrinking the payback by passing along some of the RIN value to those fleets. So yes and no. Some companies, yes. And provided they have contracts the other side of it, yes. If a fleet owns their own tractor and keeps it for ten years, then the answer is pretty easy for them. Right? So we will see how it all plays out, and we are still trying to work in hopefully more competition will bring down that incremental price for that tractor. And, you know, I think there are also some coming DEF requirements that, you know, maybe causes that diesel tractor to go up in price. And that shrinks the premium. So, we are getting there, though, on the economics of CNG on its own. Not quite there yet, but we are pretty close to getting there.
Craig Shere: Appreciate the answers. Thank you.
Operator: Thank you. And this does conclude today's Q&A session. There are no more questions in the queue. And I would like to turn the call back over to Adam Comora for closing remarks. Please go ahead.
Adam Comora: All right. We thank everybody for your interest in OPAL Fuels, and hope everybody enjoys the rest of the day.
Kazi Hassan: Thank you for participating. You may all disconnect.